Operator: I'd like to remind everyone that today's call and webcast are being recorded. Please note that they are the property of Apollo Commercial Real Estate Finance, Inc., and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available in our earnings press release. I'd also like to call your attention to the customary safe harbor disclosure. I am joined today by Anastasia Mironova, our Chief Financial Officer. In light of our recent announcement to sell ARI's loan portfolio to Athene and the call we hosted on January 28, I will provide a brief update on the four REO assets ARI will retain, and then we'll turn the call over to Anastasia to review our Q4 financial results. ARI continues to actively manage its real estate owned portfolio with a clear focus on improving run rate cash flow and maximizing value at exit. With respect to the Brook, which is a reminder, is a newly built class A multifamily tower with 591 residential units and approximately 20,000 square feet of ground floor retail in Brooklyn, New York. The property is currently approximately 56% leased across market rate units and is experiencing strong leasing momentum. The retail component is 88% leased, to Dingtai Phung with occupancy expected next year. Management remains focused on completing lease-up and achieving stabilization which is expected later this year, while also evaluating options to unlock additional value from an adjacent owned land parcel. With respect to the two hotels, starting with the Mayflower, management has implemented cost savings initiatives, which should provide a notable pickup in net cash flow once completed. In Atlanta, ARI is executing value-add upgrades to the rooms and common areas of the Cortland Grand aimed at driving group business in 2026. Following a fire in October 2025 that temporarily took some rooms offline, the company is receiving business insurance proceeds and continues to evaluate restoration and insurance recovery paths to maximize value. Finally, ARI has a minority interest in a Massachusetts predevelopment portfolio consisting of two former hospital sites, owned through a joint venture with other Apollo affiliated vehicles and is actively working through zoning changes to increase the value of each site. With that, I'll turn the call over to Anastasia to walk through our financial results for the quarter and the full year. Thank you, Stuart.
Anastasia Mironova: Good morning, everyone. In the fourth quarter, ARI reported distributable earnings of $37 million or $0.26 per diluted share of common stock. For the full year, distributable earnings totaled $139 million or $0.98 per diluted share. GAAP net income available to common stockholders was $26 million or $0.18 per diluted share for the fourth quarter, and $114 million or $0.81 per diluted share for the full year. During the fourth quarter, we recorded a specific CECL allowance of $3 million associated with the 2019 vintage commercial mortgage loan secured by a hotel property in Chicago. The loan has an outstanding principal balance of $45.5 million and is expected to pay off over the course of the next few months. There were no other charges to specific CECL allowance during the quarter, and the overall credit profile of the portfolio remains stable. The weighted average risk rating of the loan portfolio was at 3.0, unchanged from the previous quarter and prior year. The balance of loans on nonaccrual decreased by over $170 million year over year driven primarily by net proceeds received from unit sales at 111 West 57 and partially offset with the addition of the Chicago hotel loan to the population of loans on nonaccrual. Our exposure to 111 West 57 decreased by $250 million year over year and $105 million quarter over quarter, with six contracts closed during the fourth quarter. The general CECL allowance was flat compared to the previous quarter end at approximately $45 million. Total CECL allowance stood at $383 million at year end. This equates to 418 basis points of the loan portfolio's total amortized cost, down from 450.7 basis points a year ago. The decrease is attributable to sequential portfolio growth year over year. Turning to the portfolio, the fourth quarter and the full year 2025 were highlighted by strong loan origination activity. During the quarter, we committed $1.3 billion to new loans with $1.1 billion funded at close and completed approximately $200 million of gross add-on fundings for previously closed loans. For the full year, ARI committed $4.4 billion to new loans with $3.3 billion funded at close and completed about $900 million of gross add-on funding. Loan repayments and sales totaled $852 million in the fourth quarter, and $2.9 billion for the full year, reflecting continued borrower execution and portfolio rotation. Notably, over 60% of our loan portfolio is now represented with post-2022 originations. This activity resulted in the overall growth of the loan portfolio, which increased by approximately $1.6 billion year over year on an amortized cost basis. We ended the year with a total loan portfolio of approximately $8.8 billion by amortized cost, with a weighted average unlevered all-in yield of 7.3%. The portfolio has 99% first mortgages, and 96% floating rate exposure. The weighted average loan-to-value ratio is approximately 59%. Shifting to the right side of our balance sheet, ARI ended the year with $151 million of total liquidity. We also held over $430 million of unencumbered assets primarily represented with first mortgage loans and cash flow in REO assets. During 2025, we added $1.8 billion of net financing capacity including the closing of four new secured credit facilities, the extension of our revolving credit facility, and the upsizing of several other credit facilities. Book value per share was $12.14 at year end, relatively flat to the prior quarter end. With that, I would ask the operator to open the line for questions. Thank you.
Operator: 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. One moment for questions. And our first question comes from Rick Shane with JPMorgan. You may proceed.
Rick Shane: Hey, everybody. Thanks for taking my questions. Probably not a ton to ask here, but I am curious what sort of feedback you are getting from investors and given the gap between the implied value of the transaction and where the stock's trading right now, what do you think is driving that in investors' minds?
Anastasia Mironova: Hello? Hey, Rachel. This is Anastasia with Jeff. We have a technical difficulty. One second.
Stuart Rothstein: Can you guys hear me? Hey, Rick. I can hear you, Stuart. Okay. Hey. Just quickly. Look. Overwhelmingly, the feedback has been positive. I think people greatly appreciate the efforts to unlock value. Obviously, as you might expect, there's also been a number of questions around what we envision doing with the capital. Broadly speaking, what type of strategies are in mandate, not in mandate? We've revealed, you know, as expected, not a lot at this point and are more focused on getting through the go-shop period and then, obviously, getting to a proxy filing, which will provide more information to people. Not for me to say exactly what is driving the disconnect between, you know, the announced book value of 12 plus and a stock which sort of has been bouncing between $10.70 and $10.80 other than, I would say, people still looking for further clarity on what the strategy may or may not be going forward versus our further comments on dissolution also being a potential strategy. But I think as we provide more clarity on what we're thinking about and where we're headed with the vehicle, I would expect the gap to narrow over time.
Rick Shane: Got it. And as you think about alternatives, I guess the question, and I realize you have to be pretty circumspect about how you answer this, but at this point, are there clear options on the table for you that you were evaluating? And, you know, do you have three plans and pros and cons? Or is it still, hey, we don't know what we're gonna do, and we are seeking a solution in the abstract?
Stuart Rothstein: I would say we're exactly where we thought we would be, which is I would say there are some specific ideas that have germinated organically internally that we are evaluating, but I would say too early to whether one of those ideas will ultimately be what we decide to pursue or not. And then not surprisingly, post the announcement, a lot of incoming phone calls around ideas that people would like to propose to us, which was very much expected, and we will very much engage in a number of dialogues just to hear people out on what other thoughts they may have. So a bit for two at this point.
Rick Shane: Great. I appreciate the answers, and I thank you for taking the time this morning.
Operator: Thank you. Our next question comes from Doug Harter with UBS. You may proceed.
Doug Harter: Thanks. Stuart, can you talk about kind of how you think about ultimately marketing the REO assets? I appreciate the update you gave. If we take the Brook, as you get the stabilization, how much longer after that do you look to monetize the asset? What are the key signs to think about there?
Stuart Rothstein: Yeah. Look. I think with the Brook, let me respond a couple ways. I think for the Brook itself, lease-up is going as expected and overall is pretty strong. We're leasing, you know, depending on the month, 20 to 40 units a month. Rents are where we expected them to be. And as I indicated in my comments, I think we'll hit stabilization the latter part of this year. At that point, it really becomes sort of an assessment of what does the market look like in terms of the transaction environment, the interest rate environment, etcetera, as we think about maximizing value. On the Brook, the one caveat I would add is I think those of you that follow the company closely are aware, there is a parcel adjacent to the that the expectation was always that that would be a call it, jewel box retail site adjacent to the Brook. We are exploring some other strategies to create more value on that vacant site. And if we thought we could increase value of that vacant site, we might factor that into our decision around timing of when we book to exit the Brook. I think with respect to the hotels, I think the Mayflower has been performing quite well as a hotel in general since we've taken it over. We think there's a real opportunity to move net cash flow significantly over the next twelve months or so with strategies around efficiency and cost savings that we want to implement. As soon as those are implemented and a higher run rate net cash flow is achieved, I would say we're ready to bring that to market. And then I think with respect to the Cortland Grand, I think, you know, unfortunately, the fire on a portion of the hotel has given us an opportunity to sort of rethink through the best way to achieve value at the Cortland Grand, but I would say given where we're currently carrying the Cortland Grand, we feel pretty good about the value there.
Doug Harter: I appreciate that, Stuart. And then do you think about making decisions to monetize? Will you wait to determine what the future of ARI is? In case some of those assets might fit into that future? Or would you know, just how are you thinking about the sequencing in that construct?
Stuart Rothstein: I think right now, obviously, we're not making any decisions in a vacuum. But I think, you know, sitting here today, given my comments to Rick on strategies going forward, I'm not sure I envision any of the REO portfolio as critical to where we think we're taking we may take ARI in the future. So in some respects, I think, you know, exit strategy and maximizing value for the REO is very much sort of a walled-off decision as we think about just maximizing value.
Operator: Thank you. Our next question comes from Jade Rahmani with KBW. You may proceed.
Jade Joseph Rahmani: First one would be a quick one is on the dividend. What will happen post the portfolio sale? Will there be a period in which there is no dividend? Because otherwise, it will be coming out of book value. So the $12.05 will presumably go down by the dividend.
Stuart Rothstein: I think all we've disclosed at this point, Jade, is we do envision paying a Q1 dividend of this year. Still subject to board approval, but envision paying a Q1 dividend consistent with the run rate for the past number of quarters, which is $0.25 a share per quarter. Beyond that, the remarks we made on the call, whatever it was, a week, two weeks ago, indicated a desire to keep paying a dividend, but also subject to board approval and fully appreciate your comment on return of capital. And I would say we will have further discussions with our board as we move towards any type of Q2 decision, which is in the latter part of the second quarter. Vis a vis the interplay between dividend thoughts on ongoing strategy versus dissolution, and the right way to provide capital back to shareholders if, in fact, we end up in a situation where any type of distribution would be a return of capital.
Jade Joseph Rahmani: And then following up on Rick Shane's question about strategy and thinking about potential options if you do not choose the dissolution path. Wanted to see how if you agree with these broader themes. I mean, to create an entity that would create trade above book value, you know, I think you would need to create an earning stream that offers a return that's higher than what the public market discount rate is for these kinds of stocks. And so that higher return might look along the lines of what ARI actually originally started out doing, mezzanine and construction lending, because I think that's one of the only ways to generate very high returns today. Otherwise, you could go the super safe return path and perhaps use leverage in a way that private players aren't able to access, you know, using Apollo's access to business to bank lines and other businesses like Atlas via securitization. Or third, invest in operating companies that have franchise value and perhaps retained earnings or potential for equity gains. So I just wanted to see if you agree with those things, if there's anything that jumps out that you know, I didn't cover. Just your overall thoughts.
Stuart Rothstein: Look. I think at a high level, what I'd say is and you got to it with your last point, is I think we are spending a lot of time these days debating the public markets and the value of being in a, call it, price to book model versus a multiple of earnings model? And which affords the better opportunity for future growth, better trading opportunities, ability to continue to capitalize opportunities to the extent you see them in the market. I would say both are within purview today, and I guess the last thing I would say, you know, is the notion of trying to come up with a strategy that we think will trade better is to indicate that what we're trying to spend time on is an opportunity for something that has more legs than just being a one-off trade to put a billion and a half dollars worth of capital to work. Right? Like, there's plenty of places to put a billion and a half dollars, but if long term, if we don't view it as an opportunity to invest in something that we think has continued growth trajectory and an ability to, as you put it, either generate outsized returns or create some sort of operating company slash platform value, you know, I don't think we're just gonna do it. Quote, unquote, print a ticket to say we printed a ticket.
Jade Joseph Rahmani: Thanks a lot.
Operator: Thank you. I would now like to turn the call back over to Stuart Rothstein for any final remarks.
Stuart Rothstein: Thank you, operator. Obviously, always appreciate people getting on a call to discuss. We are always available, myself, Hillary, Anastasia, to the extent people have follow-up calls. Thanks all.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.